Presentation:
Operator: Thank you for standing by, and welcome to the Dassault Systemes Second Quarter 2015 Financial Results Call. At this time, all participants are in a listen-only mode. A short overview will be given followed by a question-and-answer session [Operator Instructions] I must advise you this conference is being recorded today Thursday, 23, July 2015. I would now like to hand the conference over to François-José Bordonado, Investor Relations. Please go ahead, sir.
François-José Bordonado: Thank you. Good morning and good afternoon. And thank you for joining Bernard Charles, CEO; and Thibault de Tersant, CFO to discuss our 2015 second quarter and first half financial performance. This conference call follows our webcasted presentation earlier today in Paris. For your information Dassault Systemes’ financial results are prepared in accordance with IFRS. We have provided supplemental non-IFRS financial information and reconciliation tables in our earnings press release. Some of the comments on this call will contain forward-looking statements that could differ materially from actual results. Please refer to today’s press release and to the risk factors section of our 2014 Document de Référence. Revenue growth figures are in constant currencies, unless otherwise noted. I would now like to introduce Bernard Charles.
Bernard Charles: Thank you for joining us again here on the earlier webcast. In a few words, it was a very good quarter. We did have a solid revenue growth on operational improvements. And at the same time, we advanced our strategic initiatives. Our financial progress through the first half well supports our full year financial objectives and goals with new licenses revenue up double-digit on an organic basis and operating margin improvement of 100 basis points also on an organic basis. Multiple growth drivers are indeed at work. Most notably, this quarter was geographic diversification where we are benefiting from our expansion plan from strategies in growing our presence in Asia. In addition our investments in research and development both internally and through our acquisitions are strengthening our opportunities for the future. Today, I’ll share review some of these initiatives. Finally, we’re upgrading our 2015 financial objectives as Thibault will describe in more detail with a new non-IFRS revenue growth objective of about 12% in constant currencies and non-IFRS EPS growth of about 18%. Moving to the second quarter review, revenues increased 14% in constant currencies, ahead of our target of 8% to 10%. Our operating margin increased to 29.4% ahead of our target of about 27%. On earnings per share increased 25% to €0.53 benefiting from revenue growth operating margin expansion and currency tailwinds. The initial implementation of our direct sales coverage model when smoother than we are anticipated leading to the stronger revenue growth in constant currencies. On a regional basis, Asia was the best performer with revenue up 20% in constant currencies. We’re very good growth in China, Korea and Japan. India had two strong quarters back to back illustrating the better environment compared to 2014. In Europe, France posted the strongest results delivering an excellent quarter and we continue to benefit on the strengthening of our activity in Southern Europe. In the Americas, North America had a solid performance of all. Moving to our brands on in constant currencies, CATIA’s new licenses revenue growth increased 9%. SOLIDWORKS software growth was up double-digit at 11% in total on the new license side and recurring software revenue. ENOVIA had good 3DEXPERIENCE platform prospects on large deployments underway. OSOR software had multiple drivers this quarter. In addition to SIMULIA, we’re seeing an improving dynamic for several brands including DELMIA, GEOVIA and EXALEAD. Among our growth drivers is diversifying in our regional presence and we have met with great success in that regard in Asia. As I said before, to give you some further color on an organic basis, second quarter new licenses revenue was up over 20%, excluding currency effects on broad based regional growth. We’re working with many leaders in the transportation and mobility sector all across Asia. At the same time, our wins demonstrate that we’re developing a very interesting dynamic in diversification industries ranging from high tech to consumer goods on retail, marine & offshore, architecture, engineering & construction. For example Hitachi Automotive System in Japan recently selected our Bid To Win industry solution experience and the 3DEXPERIENCE platform. In the first phase of this project thousands of users will use our project management and engineering document management to facilitate global communications across Hitachi’s different business units. In the fashion industry, Myntra an Indian e-commerce company of fashion on casual lifestyle products are selected My Collection for Fashion to help them speed delivery of fast fashion concept to the online platform by up to 50%. Now, let’s move to manufacturing in the age of experience. Despite advances made over the years the demands of today’s world have added to the challenge and complexity facing manufacturing arms of companies. I don’t need to tell you how strategic is manufacturing connecting directly to the CEO’s office with on time launches, quality on environmental concerns among many OSOR critical issues on manufacturing connects to the CFO’s office as the financial risks are higher than ever moreover. The technological advances are equally demanding. Therefore, our goal is to help our customers by providing a strong synchronization on loop between the virtual and real worlds in manufacturing especially our industry solution experience include our DELMIA solutions portfolio, but also bring together important capabilities from our broad applications portfolio. One customer example is ALSTOM transport which is a perfect illustration of connecting the virtual and real worlds of manufacturing. They are working reverse to improve their industrial operations performance. ALSTOM transport was looking to provide greater visibility, synchronization and control across its manufacturing shop floor processes that run a global operation. With our DELMIA manufacturing software solutions, ALSTOM has been able to achieve 50% cost reductions in transferring production from one side to another and it also reached a 10% improvement in efficiency. Another example is Airbus Helicopters they recently selected our new industry solution experience called Build to Operate to help it’s efficiently and profitably managing manufacturing operations. Thanks to this industry solution experience, leveraging our DELMIA capabilities, the Airbus Helicopters will be able to monitor control and validate all aspects of its manufacturing operation with digital precision. A very important topic in manufacturing is additive manufacturing. In June we entered into an agreement with Safran for additive manufacturing, together our objective is to develop a comprehensive approach and compassing all aspects of additive manufacturing, material design, conceptual and generative design, manufacturing, certification, repair with the goal to develop end-to-end digital continuity for the additive manufacturing of Aerospace engine parts. I believe additive manufacturing is moving from – is moving front and center as a critical enabler to help, address some of the challenges for manufacturers that cannot be optimized with additional manufacturing. More broadly I think it will enable new production business models. We call it manufacturing as a service. Therefore system is very well positioned here to help lead the efforts. Additive manufacturing requires unique software capabilities in terms of specification based design, deep integration between design and simulation on intimate understanding of new material science. All of them having been at the core of our research and development efforts in the past years, or acquired, for example with BIOVIA for material science. The 3DEXPERIENCE platform makes it possible to industrialize comprehensive additive manufacturing processes. Now let me share two other strategic initiatives on the recent news. We introduced 3DEXPERIENCity in 2014 with the objective to enable urban parameters to use the virtual world of 3DEXPERIENCity to create on experience the digital twin of the city. Over the last 20 years that’s a system has been deploying digital twins for many complex industries from aerospace to biotech. We’re now applying it to cities, which represents some of the most complex products ever created in order to improve infrastructure, development, risk management or traffic optimization of many of the physical issues. Addressing smart cities, we recently announced that we will be developing Virtual Singapore. The digital twin experience of the city-state on world first, based on our 3DEXPERIENCity solutions, in cooperation with Singapore Prime Minister’s office. With Virtual Singapore we will have a master model to represent, simulate, evaluate, optimize an urban experience. Importantly, with the large increase in peoples expected to be pop-up through urban centers some forecast of 60% increase over the next decade creating the city of the future can be begin by optimizing a virtual city and then carefully following the plan to create the real twins. And finally, what this initiative demonstrates very well is there a powerful nature of 3DEXPERIENCE in order to support the modeling and simulation, after complete city, which means scale. I know a number of you are familiar with 3DVIA HomeByMe online on promising solution. We’re moving forward with the new initiative creating a joint venture with BDHOME a leading omni-channel home decor retailer in China. The objective is to offer 3DVIA HomeByMe in China and to develop related 3D content for furniture manufacturers such as virtual furniture and catalogues. Turning to NETVIBES, its technologies are part of our 3DEXPERIENCE platform delivering dashboarding capabilities. At the same time, NETVIBES is a stand-alone product reaching 7 million unique users amounts including individual agencies and businesses dashboarding the information critical to them. For the Internet of Experiences, NETVIBES, Dashboard Intelligence, as introduce of revolutionary innovation for which stand-alone product called Dashboard of Things with programmable intelligence. With these capabilities businesses and consumers can very easily program automatic interactions between apps and devices, to take charge of the Internet of Things. Already Dashboard of Things is on its way to reaching 30 million triggers in July. We are partnering with Google Nest to work with learning thermostat on the users. So a very promising start of the partnership front. With that summary let me pass the call now to Thibault.
Thibault de Tersant: Good afternoon and good morning to you all. My comments so they are based upon our non-IFRS financial results. In our press release tables you can find the reconciliation of our non-IFRS to IFRS data. In addition revenue growth rates are stated in constant currency. In all cases the reported revenue reserves were generally significantly higher. Let me provide you with a few key highlights before going into a detailed review of our financial performance. We really had a strong second quarter above the guidance we shared with you on a smooth conditional direct sales coverage model. Our goal with this initiative is to increase our sales productivity over the mid-term while maintaining good coverage of our existing relationships. The quarter also benefitting from a very strong performance across Asia including China and broader strength with other supplier, thanks to SIMULIA, and improved reserves for DELMIA, GEOVIA and EXALEAD. Another industry contributed to the strength of the quarter. And we benefitted from currency with multi variable impacts on the quarter results than we had anticipated. Our organic growth was very solid across software, both new licenses and recurring software revenues. Looking at our first half results, they will reflect a 2Q 2015 goals of delivering organic double-digit new license revenue growth in constant currencies and delivering organic operating margin improvement of 100 basis points. Finally as our upgraded 2015 guidance implies, we expect to maintain a senior update of organic, new licenses revenue growth in constant currencies in the second half even with a very significant second half of 2014 basis comparison. Turning now to our software results and excluding currency, new licenses revenue increased 17% in the second quarter of which 9% was organic. For the first half, organic new licenses revenue increased 11% excluding currency effect. Recurring software also delivered steady results, well visible in our organic maintenance revenue growth of 8% in constant currency for both the second quarter and first half. Interest on our software revenue growth, in an organic basis, was very similar in the second quarter and first half increasing 7% and 8% respectively. Turning to services and other revenue, total growth of 28% reflected the additional acquisitions to our perimeter. You know of course services business, we are looking to have system integrator partners activity engaged. In terms of gross margin, it improved significantly from the first quarter coming in at 15.8%. Turning now to our operating margin, we had a very nice performance a year as we continue our focus on organic operating margin improvements to offset the dilution coming from our acquisitions. In total, our non-IFRS operating margin increased to 29.4% in the second quarter representing a year-on-year increase of 90 basis points. The principal components were currency basis of 120 basis points and organic operating margin improvements of 120 basis points offsetting acquisition dilution of about 120 basis points. Turning to our earnings non-IFRS EPS, they increased 25% to $0.53 reflecting strong top-line growth, improved our operating margin performance and also currency benefits. Moving to cash flow, our second quarter was very good at €152 million and increased 23% excluding the tax reassessment payment that we made in second quarter. As we highlighted last quarter, we anticipate either this second quarter tax reassessment payment of €16 million covering three years, which we’re now disputing as we believe that this tax reassessment are not legally funded. And other revenue increased 7% on an organic basis and excluding currency impact. Our Dassault where 58 days shortly lower sequentially and year-over-year thanks to Americas and Asia. Accounts receivable management’s improvement is an area we continue to focus on our total visible in the improvements of Dassault. Moving now to our financial objectives, we’re updating our revenue and earnings objectives. From a revenue perspective, we’re targeting 2015 total revenue growth of about 12% in constant currency, reflecting a better revolution of currency in the second quarter of about €25 million and €15 million of revenue activity of the performance we are therefore adding €40 million to our revenue range bringing it to €2.8 billion to €2.820 million. When we looked at the activity upside in greater detail, a portion of it related to the timing assumptions we have taken on our sales go to market model with some transactions closing sooner than have targeted. Importantly our objectives and that the second half organic new licenses revenue growth in constant currency at a similar level to the first half, despite a much preferred base of comparison with the second half of 2014. We’re maintaining our assumptions of the U.S. dollar extend rate of when there are 15 per euro and yen exchange rate of ¥135 per euro of third and fourth quarter at this time. This brings us to full year rate of $1.13 per euro and ¥134.6 per euro taking into account of the past actual rate. At EPS level, we’re adding €0.04 with currency and activity each accounting for €0.02 contribution. Therefore our non-IFRS EPS objectives is now about €2.15, representing growth of about 18%, compared to our former objective, our EPS growth of 15% to 17%. With respect to our operating margin objective of 2015, we are keeping it at about 30%. Our goal is to deliver are stable to slightly improving non-IFRS operating margin in comparison to 2014 to operational improvements designed to offset the dilution from 2014 acquisitions. For the third quarter, our objectives for non-IFRS revenue growth of about 7% to 9% in constant currencies and non-IFRS operating margin of about 29% to 29.5% and non-IFRS EPS growth of about 11% or €0.50. Let me now turn the call back to Bernard.
Bernard Charles: Thank you, Thibault. To conclude I think there are several key takeaways. We continue to evolve the company the world’s the future visible in our strategy implementation, organizational changes on reach, on development initiatives. We are benefiting from multiple growth drivers and this is leading to solid revenue on earnings per share growth. At the same time, we are also improving our organization on processes including sales operation plus acquisition planning among a number of areas. We expect to make good progress in all these areas during 2015 and I believe our first half well demonstrates our full year objectives. Finally, our financial progress on initiatives demonstrates we remain focused on doubling our addressable market through the implementation of our purpose on strategy, our 3DEXPERIENCE platform on industry solution experiences. By default, with the objective of doubling our market opportunity, we now have broader competitive landscape and we expected will naturally evolve over time. Having said that, we are confident in our strategy and humble in our execution, we take nothing for granted. Thibault and I are now happy to take any questions and we thank everyone for their participation on this call on earlier today.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Jay Vleeschhouwer. Please ask your question, Sir.
Jay Vleeschhouwer:
Bernard Charles:
Jay Vleeschhouwer:
Thibault de Tersant:
Jay Vleeschhouwer:
Thibault de Tersant:
Jay Vleeschhouwer:
Thibault de Tersant:
Bernard Charles:
Jay Vleeschhouwer:
Bernard Charles:
Operator: Thank you. And the next question comes from the line of Michael Briest of UBS. Please ask your question, sir.
Michael Briest:
Thibault de Tersant:
Michael Briest:
Thibault de Tersant:
Michael Briest:
Thibault de Tersant:
Michael Briest:
Thibault de Tersant:
Michael Briest:
Thibault de Tersant:
Michael Briest:
Thibault de Tersant:
Michael Briest:
Thibault de Tersant:
Michael Briest:
Thibault de Tersant:
Michael Briest:
Operator: Thank you. And your next question comes from the line of Charles Brennan of Credit Suisse. Please ask your question.
Charles Brennan:
Thibault de Tersant:
Charles Brennan:
Thibault de Tersant:
Charles Brennan:
Thibault de Tersant:
Charles Brennan:
Thibault de Tersant:
Charles Brennan:
Thibault de Tersant:
Charles Brennan:
Thibault de Tersant:
Charles Brennan:
Bernard Charles:
Charles Brennan:
Operator: Thank you.
Charles Brennan: Okay. I think with that, we can conclude this call today and of course, thank you very much for all participating this morning and this afternoon. And now, we’re always there to address any further question with our great leadership team, Francois-Jose and Beatrix for IR relationship – and Michel. Thank you very much. Have a great day. And for some of you taking summer vacation, enjoy and relax. We sure are going to take some rest after this. great first half. And second half, as you all can understand is in a good way already. Thank you and bye, bye.
Operator: Thank you, ladies and gentlemen. That does conclude your conference for today. Thank you for participating. You may now disconnect.